Operator: Good morning and welcome to the Spire Year-End Earnings Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Scott Dudley, Managing Director of Investor Relations. Please go ahead.
Scott Dudley: Good morning and welcome to Spire's fiscal 2019 year-end earnings call. We issued our earnings news release last night and you may access it on our Web site at spireenergy.com, under Newsroom. There's also a slide presentation that accompanies our webcast and you may download that from either the webcast site or from our Web site under Investors and then Events & Presentations. Presenting on the call today are Suzanne Sitherwood, President and CEO; Steve Lindsey, Executive Vice President and Chief Executive Officer of Gas Utilities and Distribution Operations; and Steve Rasche, Executive Vice President and CFO. Before we begin, let me cover our Safe Harbor statement and use of non-GAAP earnings measures. Today's call, including responses to questions, may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although our forward-looking statements are based on reasonable assumptions, there are various uncertainties and risk factors that may cause future performance or results to be different than those anticipated. These risks and uncertainties are outlined in our quarterly and annual filings with the SEC. In our comments, we will be discussing net economic earnings, contribution margin, adjusted EBITDA and adjusted long-term capitalization which are non-GAAP measures used by management when evaluating our performance and results of operations. Explanations and reconciliations of these non-GAAP measures to their GAAP counterparts are contained in our news release. So with that, I will turn the call over to Suzanne.
Suzanne Sitherwood: Thank you, Scott, and good morning to everyone joining us for our year-end update on our performance and outlook. As we begin our fiscal 2020, we’re pleased to have this opportunity to share how we’re continuing to execute on our growth strategy, a strategy focused on growing organically, investing in infrastructure, and advancing through innovation. For fiscal 2019, Spire once again achieved consistent growth and higher levels of financial and operating performance for 1.7 million homes and businesses across Alabama, Mississippi, and Missouri. Before we share the details, I’d like to address two items. First and foremost, I’d like to give thanks to every one of our Spire employees who work hard every day to deliver on our promises to our customers, communities, and shareholders. Spire employees know that we are responsible for safety providing energy; energy that families use to cook Thanksgiving dinner and stay warm when it’s cold outside. There’s great pride in taking care of our customers and communities and doing the right thing. To every employee, I extend my heartfelt gratitude and wishes for a Happy Thanksgiving with family and friends. The second thing I’d like to address is a matter I’m sure our investors and analysts are interested in, and that’s the recent ruling by Missouri Western District Court of Appeals regarding our Infrastructure System Replacement Surcharge or ISRS. As we outlined in a separate news release last evening, the court upheld appeals made by the Office of Public Counsel that disallowed recovery of portions of Spire Missouri ISRS. Additionally, the court overturned three prior Missouri Public Service Commission issued orders along with ordering refunds to customers. These rulings were made on November 19, the day before we had originally scheduled this earnings call. We appreciate your patience and understanding as we have worked to assess their impact on our financial disclosures and our immediate next steps. Steve Lindsey and Steve Rasche will have additional commentary about our ISRS program and the financial impact of these rulings. However, I would like to take a moment to share my perspective. In short, the court’s premise is baffling. The court ruled on something that was not in question by the Missouri Commission, the U.S. Department of Transportation, the National Association of Regulatory Utility Commissioners, or any U.S. state that has or has had cast iron and bare steel pipelines. The Missouri Western District Court appears to have second guessed the expertise of the Missouri PSC by deeming that qualifications for ISRS incremental funding is dependent on proving that cast iron and bare steel are ‘worn out or deteriorated.’ In fact, the Missouri PSC has a longstanding program which we wholeheartedly support that accelerates replacement of cast iron and bare steel pipes. The reality is that the Missouri ISRS statute was intended to promote safety-related investments, and it’s been working effectively for more than 15 years. Not only have we upgraded more than 2,500 miles in Missouri pipeline in that time, some of which has been in the ground since the 1800s, we’re also making a significant positive environmental impact by reducing emissions that come from leaks and aging pipes. We believe wholeheartedly that we have consistently done the right thing and followed the rules for system upgrades under ISRS and the Missouri PSC consistently approved these actions. With the PSC’s oversight we have executed the program while keeping customer bills in Missouri nearly 20% lower than they were 15 years ago. Therefore, we strongly disagree with the court’s ruling and will vigorously defend the timing, efficient, and effective modernization of pipeline infrastructure. With that, I’ll turn to the purpose of this call which is to report on our strong financial year-end results. In fiscal 2019, we delivered net economic earnings per share of $3.73, which grew by 5.1% as compared to run rate earnings for fiscal 2018. The increase was driven by our gas utilities, which as you know account for most of our earnings. We’ve been able to consistently grow our gas utilities, adding to the number of customers we serve by investing in our distribution system, new business, technology, and innovation. Steve Lindsey will provide year-end highlights around how our investments are driving performance across all of our operating metrics. While our gas utilities are the main driver of growth, we expect all of our businesses to grow. In fiscal 2019, we continued to advance our gas marketing and midstream operations. Steve Rasche will talk about gas marketing, and I will update you on our midstream operations, Spire STL Pipeline and Spire Storage. For midstream businesses, I'm pleased to announce that Scott Smith, an industry veteran with 30 years of experience has joined our team. As President, Scott has executive responsibility for the operations of Spire STL Pipeline as well as the development and operations of Spire Storage. It is with great pride that I'm able to announce that we completed our Spire STL Pipeline and have officially placed it into service. As you will remember, on our last call, we updated everyone on our progress letting you know that we were facing delays in completing construction due to historic flooding. Well, thanks to cooperation from Mother Nature and the hard work and dedication of our internal team and external partners, we were able to finish construction, nearly complete land restoration, and complete required testing of the pipeline. Making history for our company, this final work allowed us to flow gas last week, six weeks earlier than our end of calendar year target, a significant accomplishment that follows the FERC approval of final rates and authorization to begin service. This 65-mile pipeline is now delivering a reliable and more diverse supply of shale gas from the prolific Marcellus and Utica-producing regions to Spire customers in Eastern Missouri, including the Greater St. Louis region. The pipeline also enhances the resiliency of our natural gas supply. And we've noted before, Spire Missouri East as the anchor shipper having contracted for approximately 88% of the pipeline's capacity. Final cost to construct Spire STL Pipeline is approximately 265 million with a few million dollars of our last estimate. Turning to Spire Storage, our near-term focus is on ensuring we're able to provide the needed services for our customers throughout the winter. While overseeing current operations, Scott Smith is leading the development efforts and commercial strategy for the facility. He and a team are advancing the work that we've done to-date to assess the operating capabilities of the facility relative to longer-term market needs and opportunity. Regarding development, we’ve taken a disciplined approach including specific projects to enhance withdrawal capacity and winter preparedness. In fiscal 2019, we spent 35 million on the physical plant at Spire Storage and 56 million for base gas to support the facility’s operational capacity. Now, I'd like to turn the call over to Steve Lindsey who will talk about the growth and strong performance of the gas utilities. As Steve will describe, thanks to innovation and technology combined with investments and infrastructure [indiscernible] organic growth, we're driving higher margins and earnings, all while continuing a trend of strong and improving performance in safety, system integrity and customer service. Steve?
Steve Lindsey: Thank you, Suzanne. I also want to acknowledge the outstanding efforts of our employees in delivering another strong performance this year, including providing great service to our customers while keeping themselves and our community safe. As you know, we've been focused on consistently growing our gas utilities through a robust capital program centered on pipeline replacement modernization as well as new business. In fiscal 2019, Spire’s total capital expenditures were $823 million driven by $575 million of investment in our gas utilities. About half of our utility spend was dedicated to infrastructure upgrades which helped us have another strong year which we replaced over 350 miles of distribution pipelines. We also invested $91 million in new business which represents a growth in spend about 10% over last year's record pace. I would point out that our utility CapEx for fiscal 2019 came in about 45 million higher than we originally forecasted. Thanks in part to favorable weather we were able to complete more infrastructure upgrade work than originally planned. Turning quickly to the non-utility capital, our investment this year was right in line with our forecast including $150 million for construction of our now completed STL Pipeline that serves Spire Missouri East. While we quickly see the benefits from our infrastructure upgrade investments in terms of increased safety, service, system, integrity and operating costs, we also continue to focus on the regulatory recovery of those investments. Regulatory mechanisms we have, including incentives to accelerate system upgrades in Missouri and Alabama, are key to supporting both infrastructure modernization and earnings growth. In Alabama, we recovered our investment in a nearly real-time fashion under the Rate Stabilization and Equalization or RSE mechanism via annual filings. In late October, we made filings for both our Alabama utilities with new rates expected to be effective by December 1st. For Spire Alabama, we also had the Accelerated Infrastructure Modernization rider or AIM which incentivizes the accelerated replacement of the remaining cast iron and bare steel distribution pipelines through a 10 basis point return on equity adder. I'm pleased to report that Spire Alabama exceeded the threshold number of replacement models in fiscal 2019 required to earn the incentive and has included the additional ROA in its rate filings to be effective for 2020. In Missouri, we received approval from the Missouri PSC to increase our ISRS revenues by $8.8 million effective November 16. I’ll have more to say in regards to ISRS and the recent appellate court rulings in a moment. Growing organically is the other important way in which we grow our gas utilities. We are focused on new business and economic development initiatives, and as you know we are ramping up our commitment and efforts in both these areas. Our investment in new business continues to increase, and as I noted earlier was a record in fiscal 2019. As a result, we are seeing further growth in new premise activations which totaled 11,645 this past year. I would point out the new premise activations are not the same as customer growth as we also have some attrition, but it is important that we continue to add burner tip to our system to offset normal customer losses. As we noted last quarter, we've also had success in extending our service to reach new customers beyond our current franchise area in Missouri, including poultry and agricultural customers in the Southwest part of the state. Similarly, we're also looking to extend our facilities in Alabama to currently underserved areas. The benefit of this type of new business is that many of these customers are conversion opportunities that translate into immediate margin. As you can see, we continue to grow our margins at our gas utilities driven by modest customer growth, higher commercial and industrial margins and supported by constructive regulatory outcomes. For example, we recently received approval for Spire Alabama to establish a mechanism allowing the utility great value through all system sales of excess natural gas supply. This is similar to the successful program we have in Missouri where about 75% of the value created will be used to lower customer rates, while the remainder will be retained by the company. Our third strategic growth priority is advancing through innovation. For Spire, innovation is about continually finding ways to better serve our customers, delivering high-quality, cost-effective, safe and reliable natural gas service to homes and businesses. Innovation is not new to Spire. We've been pursuing continuous improvement and adopting best practices across our utilities for many years. To harness the power of innovation, we have formalized our approach with an organizational structure and processes to guide our efforts, including hiring an executive leader with more than 25 years experience in innovation and technology. We've worked to instill a culture of innovation at Spire and opened an innovation center where employees can meet, collaborate and pursue creative ideas for advancing our company. Technology has and continues to be an important enabler of innovation. More than a year we've been in the process of modernizing and standardizing our enterprise information technology platform. In the field, we’re using leading-edge leak detection technology and robotic techniques to make pipeline repairs in less time or less costs and with less disruption to customers and communities. We're also working to streamline and standardize our processes for planning, scheduling and executing our work to drive greater efficiency, improved service and higher customer satisfaction. Finally, we support growth through innovation and the day-in and day-out rigor of controlling our costs. As a result of our efforts, we continue to drive ever-stronger operating performance supported by the investments we make in infrastructure, technology innovation and our people. In fact, we have record or improved performance this year across all the metrics that we track. At Spire, everything begins with safety and we're seeing lower employee injury rates and better safety overall. We're continuing to have success in reducing third-party damages to our systems, thanks to a number of programs that promote safe excavation practices across our entire footprint. In fact, Spire took the lead in facilitating the enactment of legislation in Alabama that will help promote increased damage prevention programs for all excavators. Modernizing our pipeline system is leading to enhanced system integrity. We've reduced leaks by two-thirds since 2015. And as we continue to reduce leaks, we are driving better environmental performance through lower methane emissions. And finally, our service levels and performance in the field continue to build on last year's successes. Our customer satisfaction scores for our field technicians continue to trend upward, meanwhile our appointment attainment rates were at a record 98.5% all while continuing to lower our average leak response times. As you can see our investments in our system, technology, innovation and people are paying off and from better safety, reliability and customer service while allowing us to achieve lower methane emissions. That’s why the recent Appeals Court rulings on ISRS represent decisions that don't support our efforts to do what's right. On November 19, Missouri Court of Appeals of the Western District issued rulings addressing two primary areas of the ISRS program. These are intermittent plastics and evidentiary standard of cast iron and bare steel meeting the requirement of worn out or deteriorating. The debate here is not on the prudence of these investments, rather on the qualification of ISRS recovery versus a general rate case. We fully intend to appeal these rulings and defend our positions which we wholeheartedly believe are right. We've been implementing the ISRS program for well over a decade following the process laid out in the original statute. These types of programs are currently being deployed around the United States to provide incentive for gas utilities to accelerate the infrastructure upgrades and in some cases would have taken over 100 years to complete. As Suzanne noted, we have made tremendous strides in upgrading our distribution network over the past 15 years. Our system and our service delivery is better, safer and more reliable. We've invested over $1 billion and replaced over 2,500 miles of pipeline as a result of this ISRS program. And even with the significant investment, the natural gas bills for our Missouri customers are nearly 20% lower than they were 15 years ago at the start of the program. As our upgrade project – as part of our Distribution Integrity Management Plan or DIMP, this is the accepted methodology in our industry that relies on understanding system risks and taking appropriate action. I'm very proud of the accomplishments that we've achieved for more than a decade relative to upgrading our infrastructure. We've made these investments and gotten recovery under the longstanding ISRS mechanism for semiannual filings with the Missouri Public Service Commission which has worked well and balanced the interest of our utilities, our customers and our investors. With that review of the gas utilities, let me turn the call over to Steve Rasche to talk more about the ISRS filing, including the financial implications and to cover our financial performance and outlook. Steve?
Steve Rasche: Thanks, Steve, and good morning, everyone. Even with the great progress we've made this year, of course I need to start with our ISRS provision. And as you can tell from our discussions today, we truly believe that we are doing the right thing for our customers, in the most efficient manner and with the support of the Missouri Public Service Commission. But at this point, we are required to record the impact of ISRS revenues in accordance with the court ruling even though we remain confident in our ability to prevail. Here on Slide 10 you will see the detail supporting our current ISRS revenues by authorization date. A couple of things to point out. First, we are not currently recovering any ISRS revenues from intermittent plastics. In fact, we have roughly $6 million related to this issue on appeal right now and that represents upside to our ISRS recoveries if we are successful. Second, the plastics revenue in 2016 and 2017 totaling $4.2 million were collected prior to the completion of our 2018 rate cases. The appropriate revenues were included as they should be in the new rates set in those cases, and only the potential refund of the $4.2 million is in question. Third, revenues collected from ISRS effective October 8, 2018 totaling $8 million last year were also subject to the court ruling, questioning as Steve discussed whether cast iron and bare steel are worn out or deteriorated. As outlined here, the ISRS provision we recorded this quarter reduces revenue by $12.2 million and establishes a regulatory liability amounts due to customers pending the final determination. The earnings impact of that adjustment is $9.3 million or $0.18 a share. The ISRS rulings also impact how we record the customer billings under the October 8 rider in 2020, and those amounts will also be recorded as a regulatory liability and not as revenue or margin. Now this is a fluid situation. And over time we expect to get more clarity not only on the potential refunds or additional ISRS revenues, but also in how we think on ISRS recovery in 2020 and beyond. For your reference, we have included a more detailed summary on our ISRS layers and current status in the appendix to the earnings call deck. Given the timing of this situation and the uncertain nature of the final outcome, the ISRS provision is not included in our net economic earnings for 2019. With that said, now let's turn to the business and our results for the year. Our fiscal 2019 net income was down from 2018 due primarily to the noise associated with our regulatory resets and the benefit of tax reform last year as well as the ISRS provision this year. A more meaningful comparison is our net economic earnings, which removes these adjustments. NEE was $195 million, up just over $11 million from a year ago. Recall that our 2018 run rate was $0.17 or just over $8 million lower than reported results due to the weather-driven market conditions in the winter of 2017 and 2018. Taking that into account, our net economic earnings grew by just under $20 million or 11.2%. NEE was also $3.73 per share, up 5.1% from last year's run-rate. Per share results reflect the preferred stock dividends as well as the common shares issued under our ATM program this year and our offering in mid-2018. Looking at the results by segment. Gas utility posted earnings of $200 million, up $17 million from last year. This increase reflects a higher contribution margin and the benefit of more favorable weather. Gas marketing’s earnings of $19.4 million were down $3.5 million from a year ago as the benefits of expansion were largely – they did largely offset the return of more normal market conditions that we alluded to earlier. Other business and corporate expenses were just over $24 million, slightly higher than last year. This includes the negative EBITDA from Spire Storage of $13.2 million which was excluded from net economic earnings last year, partially offset by higher AFUDC from the Spire STL Pipeline. Turning to the details, starting on the next slide. Total operating revenues of just under $2 billion were down 1% from last year as slightly lower utility earnings were partially offset by growth in gas marketing. Utility contribution margins of $967 million were up nearly $20 million reflecting the combined benefits of rate resets and higher net ISRS revenues. Gas marketing revenues reflect higher volumes that averaged 2.2 Bcf per day during the fourth quarter, up from 1.5 Bcf per day for the same period a year-ago. Margins as reported were down $5.7 million or after removing fair value adjustments of nearly $5.5 million were essentially equal to last year. Again, the benefits of geographic expansion, building our team and customer growth almost completely offset the return to more normal market conditions. Kudos to Pat Strange and his team for an outstanding performance this year. Looking at our operating expenses, starting with the gas utilities. Utility fuel costs were lower on the timing of gas cost recoveries and lower overall commodity costs. O&M expenses as reported were down substantially for last year, but there's a lot of noise in those numbers as outlined here on the slide. After removing the 2018 rate case write-offs and the 2019 reclassification of postretirement benefit costs, run-rate O&M expenses were up $9.9 million with fully $9 million of that increase due to higher amortization awarded on our Missouri rate cases in 2018, meaning that all other costs were essentially flat to last year. Depreciation expense was also higher not surprising given our capital spend. Gas marketing expenses after removing fair value adjustments of just under $15 million for the year were higher by $30 million, reflecting higher volume and transportation charges not surprising given the business expansion. Miscellaneous income was higher by $29 million reflecting the other side of the O&M reclassification and higher AFUDC earnings. Interest expense was up on higher short-term rates and borrowing levels. And finally everybody's favorite income taxes, expense for this year of just over $34 million was down marginally from last year after removing the 2018 tax reform-driven revaluation. Our 2019 effective tax rate was 15.8% which reflects a full year amortization of excess accumulated deferred income tax and the impact of AFUDC which is not taxable by the way and the ISRS provision. For fiscal 2020, we expect our effective tax rate to be roughly 18%. Our fourth quarter performance is summarized here on Slide 15. In the interest of time, I will just point out that our net economic loss for the quarter was $2.9 million lower than last year or better than last year and on a per share basis was $0.02 higher, pretty much in line with our expectations in a quarter where we typically have the seasonal loss. The trends by business are consistent with the comments a few minutes ago on a year-to-date basis. We have a strong financial position with growing cash flow and solid capitalization. Our adjusted EBITDA was up 5% over last year. We also reduced parent company debt with the maturity of $125 million in August. Our year-end long-term equity capitalization was just under 52%, reflecting not only that maturity but also our preferred stock offering and issuing roughly $15 million worth of shares under our ATM program, which we launched last year. At year end, our short-term borrowings were $743 million, a bit higher than normal and reflecting the timing of planned long-term debt offerings that slipped from late fiscal 2019 to early fiscal 2020, including Spire Missouri’s $275 million in first mortgage bonds that we issued in early November. As a result, we have ample liquidity as we enter the winter heating season. Finally, let’s turn to our outlook. Our long-term annual per share growth target remains 4% to 7% with caveat that the growth in Missouri may be more closely tied to rate case outcomes if our ISRS recovery becomes constrained. Despite that uncertainty, we are increasing our five-year capital spend plan to 2023 to $3 billion, up from $2.9 billion previously. Our forecast for fiscal 2020 is $590 million and you can see here the breakup by business on this slide. We will continue to evaluate the timing and pace of our utility spend in Missouri as we get more clarity on ISRS recovery, and the impact it may have on regulatory lag and the timing of our next Missouri rate cases. At this point in the year we would also normally launch our earnings guidance range for fiscal 2020. However, given the uncertainty around ISRS, we will delay that launch until the picture becomes clear. Lastly, our long-term financing plans over the next three years includes a steady level of equity, as shown here on the slide, paired with the Spire Missouri first mortgage bonds and other planned operating company debt in early 2020. In summary, despite the surprise finish this year, we remain focused on investing for the future delivering safe and reliable service to our customers and earnings growth. With that, let me turn it back over to you, Suzanne.
Suzanne Sitherwood: Thank you, Steve, and thank you, Steve. As you heard, we’re in a strong financial position. We’ve used our growing earnings and cash flow to support consistent dividend increases. So in closing, I’m pleased to say that our Board of Directors voted to raise the common stock dividend by 5.1% to an annualized $2.49 per share for 2020. The increase reflects our strong performance in 2019 and the Board’s confidence in our ability to drive continued earnings growth. The latest increase continues our 75-year track record of paying the dividend and marks 17 consecutive years of increases, while allowing us to maintain a conservative payout ratio in the range of 55% to 65%. In summary, our performance in fiscal 2019 was strong including the growth of our utilities, expansion of our gas marketing business and the advancement of our midstream operations. We achieved higher and in many cases record levels of operating performance at our gas utilities. This includes further reduction in methane emissions thanks to our robust pipeline upgrade program and other system integrity initiatives, and we continued our passionate involvement in the communities we serve. Heading into fiscal 2020, we’re poised to continue our track record of advancing our business driven by organic growth, investment and innovation. We look forward to updating you on our performance as the year unfolds. And as always, we appreciate your continued interest and investments in Spire. Now, we’re ready to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Christopher Turnure with JPMorgan.
Christopher Turnure: Good morning. Could you maybe walk us through the next steps in the appellate process here? I guess you have three separate orders that you need to appeal and kind of how that will play out depending on whether you succeed in those steps or have to go further or not?
Steve Lindsey: Sure, Chris. This is Steve Lindsey. I think initially we’ll go through the normal appeals process which would be filing for reconsideration. Obviously, there are other opportunities such as taking it to the State Supreme Court. And then, I think ultimately there are legislative fixes that we can look forward to, to provide some clarification and even potential regulatory fixes. So, I think there's multiple opportunities, but in the immediate from the legal perspective, it will be reconsideration and then go from there.
Suzanne Sitherwood: [Indiscernible] Steve's point, the commission could create a cure on their own. But the way everything is written today, we would have to involve the judicial process to remand it back to the commission, unless the commission takes some other action to cure it on their own. So it’s a process and we're still outlining the timing and so forth of all of that with our counsel.
Christopher Turnure: Okay. So then I guess a little bit more specifically on the rehearing process at the court, when do you make that filing? And then how long do they have to accept it or reject it? And how long would that process take?
Suzanne Sitherwood: Our General Counsel, Mark Darrell’s in the room here to give you a little bit more color on that process. I’ll turn it over to a smarter legal mind than mine. How about that?
Mark Darrell: Thank you, Suzanne. Yes. So, Christopher, basically what would happen is that we have to file an application for rehearing by December 4. And then after that, the Western District would have to make a decision on that application for rehearing and that's – we don't know exactly how long the Western District will take to do that. But that's what the next process would be. And if it turns out that they deny our application for rehearing, then we either have an opportunity either by the court order to go to the Missouri Supreme Court or we would ask that we – we'd asked the Missouri Supreme Court directly to take the case.
Christopher Turnure: Okay. And then I guess in those various scenarios, what would be the soonest that we could see EPS guidance for fiscal 2020?
Mark Darrell: I won't answer that specifically. But with respect to the court, obviously there's nothing – there's no timetable for the court to make any – either courts, either the Western District or the Supreme Court to make a decision. So, obviously, we would have to kind of wait and see how that process plays out before we were able to give any further color on guidance.
Suzanne Sitherwood: And to follow up on that a little bit more color, going back to Steve Lindsey’s comments and your question was specific to the judicial process. I just want to remind that there's a regulatory process as well as Steve mentioned a legislative process. And even in that regulatory process that there's rate case processes and those sorts of things that we've got to work through, I'll just call it the critical path for all these paths that we have and make sure we understand what's best in terms of supporting this program that's been around for more than 15 years and the commission has reaffirmed time and time again. And so, there'll be more to come as we start mapping all this out.
Christopher Turnure: Okay. Yes, I actually wanted to come back to that, Suzanne, just on the PSC itself. It sounds like when it does get back to them, they have pretty wide latitude on how they can interpret the court order in terms of giving you pretty full recovery of your ISRS requests or giving you a very small amount of them. Is that a fair interpretation?
Suzanne Sitherwood: I think it would be fair to me to say that I will not speak for the commission, but what I can say is based on prior ISRS filings, and we have, like Steve has talked to, up to 15 years of this program, so we have a long history with this program and the commission is reaffirmed, and we have frequent meetings with them. So, again, I don't want to speak for them and certainly not prospectively, but this was OPC that filed in the Western District Court, not the commission. And OPC has a responsibility too to protect consumers not just from a cost perspective but also from a safety and reliability perspective. And just again as a reminder, if you look at what customers are paying today, it's up to 20% less than they were paying say 15 years ago, which is really a win-win for the State of Missouri, our communities, and our customers to have a modernized system and be paying less than what they were paying years ago.
Christopher Turnure: Okay. No, I appreciate that you can't speak for the commission, but I guess just in having read the court order, it sounds like there's a little bit of subjectivity or confusion in there at least on my part as to the recoverability of plastics or the recoverability of cast iron and bare steel itself. So it's just I guess a pretty uncertain process here. I guess – I’m sorry.
Steve Lindsey: Well, I was just going to say I think to just reinforce the point on this particular issue, the commission is aligned with our position. Again, for 15 years, we've been filing this really twice a year from the perspective of the bare steel and cast iron. If you go back to the original statute, I think the intent of this has been accomplished which is accelerating the infrastructure upgrade program, and I go back to this, I believe the right thing to do regardless, but this mechanism was put in place to help us accelerate that. That’s what's been going on. So, again, like Suzanne said, we can't speak for the commission but I think their actions in the past has supported our position on what we've been going through relative to this program, and I think that's the direction we should take going forward.
Christopher Turnure: Okay. And then just remind me on what your rate case filing plan was in terms of timing before the court order?
Steve Rasche: Hi, Chris. This is Steve. We are required by the ISRS legislation that underlies all the discussion we had to file a rate case no later than three years after the first ISRS rider hits the customer bill. And so that happened in early October of 2018. So if we play it by the tips to use a golf term, we would have to file our next ISRS by the beginning of October of 2021. There is nothing in the legislation or anything else that’s comes out. That precludes us from filing a rate case whenever we choose to based upon our assessment of regulatory liability.
Christopher Turnure: Okay. That's extremely clear. Thank you, all.
Suzanne Sitherwood: Thank you, Chris.
Operator: [Operator Instructions]. Our next question will come from Sarah Akers with Wells Fargo.
Sarah Akers: Hi. Good morning.
Suzanne Sitherwood: Good morning.
Steve Lindsey: Good morning.
Steve Rasche: Good morning.
Sarah Akers: Can you repeat the comments about how you’re going to be treating this going forward? Did you say that you will not be booking any ISRS revenue or margin until this is resolved?
Steve Rasche: Sarah, this is Steve. I can take care of that. If you would – there's a detailed slide in the deck, it's Page 22 which outlines all the different layers. It was also one of the slides that supported the prepared remarks. We have to as we go through the process that Steve and Suzanne and Mark just talked about, we have to record the revenues based upon the appellate court ruling until it is overturned, remanded or we get more guidance. So there are two pieces. The one piece is plastics. That's a history issue from 2016 to 2017. You're asking about the second piece which I believe was the third of the three rulings which dealt with the October 8, 2018 ISRS that the court remanded back to a public service commission because they didn't believe we have met the standards of worn out or deteriorated for cast iron and bare steel. I’ll refrain from any other comment at that point. So we have reversed the earnings that we recorded in 2019 that was $8 million and any collections we get in 2020 as a result of that, which it was authorized at $8 million. You're going to see on an annual run rate basis, it's about that much. We would record that in that same regulatory liability. So we would not get the revenue margin of our earnings benefit of those ISRS collections, but we will continue to collect those until we have better determination on how the overall ISRS rider is going to be handled.
Sarah Akers: Got it. And so then when will you normally make your next ISRS filing? And is that still planned?
Steve Rasche: Well, that's a great question and I think that falls in the same category as we've got a – we've got a few things that we need to do. Mark alluded to a couple of those in the legal realm. And then we'll figure out when the right time to file ISRS is. We generally have two per year. And so we would be coming up on the time period where we would normally under normal circumstances and normal recovery would be filing our next ISRS which would include the construction that happened during the December period. We have not decided if we’re going to file that ISRS and start the process or engage in more discussions with the various parties. And frankly we’ll need to have those discussions before we decide what to do next.
Steve Lindsey: Yes. And Sarah the point that Steve made I think is critical and that it’s not exactly every six months. We have two within a year and so we do have some flexibility relative to the timing of the next filing.
Sarah Akers: Got it. Thank you.
Suzanne Sitherwood: Thank you, Sarah.
Operator: Our next question comes from Selman Akyol with Stifel.
Selman Akyol: Thank you. Good morning. I guess in your prepared comments, you stated that commission could create its own cure and then further along it was mentioned that the commission has been aligned with Spire’s position. So I guess just my first question is, is it still too early for any of those conversations or have you spoke to the commission about this pathway at all?
Suzanne Sitherwood: Our focus has been – obviously it’s been a very short period of focus on ending our year and getting on this call. So we have not had those conversations. And my reference to the commission in the 15 years is there’s a legal structure, there’s a legislative action that created this ISRS that went to the commission. The commission has authority over that and they’ve been regulating this program for 15 years for a mass buyer; buyer Missouri East, buyer Missouri West. And so there’s a history in terms of implementation of this program. And so my comment again was based on the historical aspect. And when you have a regulatory program and it’s been in existence that long, it’s really been legally tested in my view, again, not be an employer. So again trying to figure out what they may or may not do going forward, we’re simply sharing that there are multiple avenues to take and even in the regulatory environment they may take some action, as Steve Lindsey talked about with the ISRS filing, Steve Rasche talked about rate case filing. So we have a lot of options and directions that we can take that.
Selman Akyol: Okay. And then just thinking about STL Pipeline, it looked like there were still $50 million to be spent and I’m just kind of curious what was – with it being placed in service, what’s still outstanding for the pipe?
Steve Rasche: Selman, this is Steve. We just put the pipe in service literally last week, so all the spend that we’ve incurred since 9.30 to get it put in place would clearly fall into fiscal 2020. And then there’s still some restoration work to be done and other things that we need to do in order to finish up the construction project. It is not unusual to go into service and still have some of that ancillary stuff that needs to be done. But that’s our – our best estimate is the $50 million and a good chunk of that has already been spent. And as a reminder, when we talk about capital spend, we generally go to the capital spend that is on the cash flow statement, which is cash. So I can assure you that Michael and the other contractors have incurred work that will show up once we pay them in October and November as we finish up the work. So a key thing to remember is the total cost of the pipeline is $265 million, which is really right on top of the $262 million number we talked about three or four months ago once we knew that we were going to get the pipeline in before the end of the year. And as Suzanne mentioned, we were able to do that about six weeks earlier than the end of the period we had thought.
Selman Akyol: Very good. And then I guess you had also been looking around for maybe some additional pipeline opportunities on the West side of the state. Was there anything that has developed since past quarter?
Suzanne Sitherwood: Yes, we continue to study that. But this past year of course we've stayed very focused on moving our marketing team to Houston and expanding that business as well as what I've mentioned around storage and completing the pipeline here to this region. But yes, we are evaluating those options and also continue to study what is working in Alabama and other options we might have there as well as we continue our program.
Selman Akyol: All right. Thank you.
Suzanne Sitherwood: Thank you.
Steve Lindsey: Thanks, Selman.
Operator: [Operator Instructions]. Our next question comes from Michael Weinstein with Credit Suisse.
Michael Weinstein: Hi. Good morning.
Suzanne Sitherwood: Michael, good morning.
Steve Lindsey: Hello, Michael.
Michael Weinstein: Hi. So how much of the ISRS work going forward is going to be covered under that worn out and deteriorated standard now being enforced by the Court of Appeals? And more to the point, how much work going forward is going to be for intermittent plastics and cast iron and bare steel replacement that could be disputed? Is the entire amount of the spending going to be in that regulatory liability going forward, all spending?
Suzanne Sitherwood: The test that you referenced that was taken up by the court, any bare steel and cast iron pipe and at least based on that court’s vision would apply. The question is and in our view the commission again has proven that it’s worn out and deteriorated just by the very nature of the age of it. And so therefore the commission has approved our filings repeatedly. And so in our view, it speaks for itself. Not to mention and Steve Lindsey can talk about this, but we have what is called a DIMP plan. And I'll let Steve talk to that in terms of the planning and what that does. And again that DIMP plan is something that's across the United States for all gas companies that have bare steel and cast iron pipe.
Steve Lindsey: Hi, Michael. This is Steve. And so, again, if you think about kind of the intent or the spirit of the ISRS legislation and ultimate statute, it was to accelerate the replacement of bare steel and cast iron. Now the criteria, it was been in place in the original language, but we've been operating for 15 years under if it's bare steel and cast iron and we prioritize, like Suzanne mentioned, based on our DIMP plan, which takes in consideration leak history, ongoing maintenance, things like that, that's the way we prioritize it. So from that perspective, we view that everything that we've been replacing is eligible under that statute. Now the plastic piece is different. Again, we contend that it's better and more efficient for us to replace entire segments, which include the interspersed small piece of the plastic within the system. We still think that's a better approach and really from the OPCs perspective, you would think they would support that because it is a lower cost ultimate outcome which should benefit consumers. So again, on both those pieces and on the plastic, I'll say, that's a very, very small amount. So I wouldn't get overly concerned about that. The bigger piece for us is, again, it's the bare steel and cast iron which is everything really that falls under the ISRS program.
Suzanne Sitherwood: And I hate to get too much in the reef here, but I've mentioned this on calls before. Against the backdrop of what Steve just described, our engineering team, there is a holistic planning for the entire region because pressures are changed, receive points are changed and so forth. So this DIMP plan is a master plan. It's not just simply removing one small piece of pipe and throwing in another piece in the ditch. It's holistic planning against the backdrop, as Steve mentioned, and a very structured approach consistent with what 42 other states are doing across our region. And again, the eight that aren't is because they don't have bare steel and cast iron pipe. So we absolutely believe that we're at the highest standard and doing all this work correctly on behalf of our customers and at the same time keeping their bills, like I've mentioned a few times on this call, 20% lower.
Michael Weinstein: Yes, that will make sense. And I wouldn't question the safety aspects of it. You guys are the experts. But I'm wondering – so how much earnings are being essentially deferred by booking the regulatory liability going forward and what is your assumption in the 4% to 7% growth rate that you've reiterated?
Steve Rasche: Michael, this is Steve. I think I can handle that. The amount that was deferred as of 9.30 was $8 million and that is the estimated run rate for the only active ISRS layer that is subject to the appeal court ruling. So you can – if all things were to play out and we got no determination for the entire year, then $8 million of top line revenue and something less than that given the tax benefit would be at risk. That is kind of where we stand today and we’ll have to keep watching and see what happens as we go forward. We would hope that before the end of the fiscal year, we have some determination on what's going on. But we'll have to wait and play that out. A couple of other points. We're not talking about prudent rate based investment. In fact, there’s no debate and the court was clear that they're not debating the prudence of the investment. It's really about qualification for ISRS. So, if in the worst case scenario where we don't get favorable forward view or comfort about what's happening with ISRS, then we would go back to the earlier question and look at our rate case timing and we could accelerate our rate case timing if we needed to do that in order to minimize regulatory lag. The 4% to 7% is a five-year forward view. As you know, we are pretty, pretty manic about having a long-range plan, managing that and managing it with greater specificity, especially as we get closer to the current time period. And there is nothing that we had seen in any of the work that we've done so far, including and notwithstanding the Court of Appeals ruling that dissuades us from our ability to continue to grow rate base at about 6% per year, given the capital spend that we have and driving growth over time. Now that growth could be lumpier and tie closer to rate case outcomes if we don't get the recovery on ISRS that we would expect and that we’ve historically had for the last 15 years. That's the scratchy kind of uncertain part that we're dealing with right now, which is the singular reason why we're reticent to issue 2020 guidance until we have a bit more clarity into what's going on.
Michael Weinstein: Got you. Thank you very much. One last question about STL Pipeline. You've got the ability to raise rates at Spire Missouri by $0.02 in MMBtu. Is that going to cover the full 265?
Suzanne Sitherwood: So we already went to FERC and enacted that process. So that's already been accomplished, the raising of the $0.02.
Steve Lindsey: Yes. Michael that was de facto with the increase in the maximum rate and that was pre-negotiated in the present agreement, which is now three years old. We've talked about this in the past and our cost estimates haven't really changed too much. We're able to offset some, but not all of the additional total costs that are $265 million. So by definition, at the beginning of the pipeline, the ROEs will go down a little bit, but we still feel they're within the range of what we're seeing in terms of FERC rates right now, assuming a 50-50 cap structure, which is pretty standard in these projects. Our rate of return will be in the low 12% range, which is still the right place to be and it's actually if you read the tealeaves and what's happening in Washington DC, ROEs tend to be coming down a little bit based upon some of the discussions of the commissioners. So it's clearly an ROE, which is above what we're seeing in regulated utilities. And there is the opportunity over time for us to take advantage of the extra 50 a day that is not currently under contract with Spire Missouri East, or over the much longer period, if we find a customer who wants to take more than that to do a new construction project which would include – increase the capacity, probably add compression to the pipe that would increase the capacity above its MAU, its current capacity of 400 a day. That's a much longer-term project. We don't have anything to discuss at this point, because frankly we just got the pipe in service and those customers generally wouldn't be coming forward until they saw the pipeline was operating as it was intended.
Michael Weinstein: Got you. Thank you very much.
Operator: [Operator Instructions]. As I'm showing no further questions, this will conclude our question-and-answer session. I would like to turn the conference back over to Scott Dudley for any closing remarks.
Scott Dudley: Well, thank you everyone for joining us. We will be around the rest of the day for any follow-up questions. We look forward to talking to you then. Have a great Thanksgiving. Talk to you soon.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.